Operator: Hello, and welcome to Doximity's Fiscal First Quarter 2024 Earnings Call. I will now pass the call over to Doximity's Vice President of Investor Relations, Perry Gold. Please go ahead.
Perry Gold: Thank you, operator. Hello, and welcome to Doximity's fiscal 2024 first quarter earnings call. With me on the call today are Jeff Tangney, Co-Founder and CEO of Doximity; Dr. Nate Gross, Co-Founder and CSO; and Anna Bryson, CFO. A complete disclosure of our results can be found in the press release issued earlier today as well as in our related Form 8-K, all of which are available on our website at investors.doximity.com. As a reminder, today's call is being recorded and a replay will be available on our website. As part of our comments today, we will be making forward-looking statements. These statements are based on management's current views, expectations and assumptions and are subject to various risks and uncertainties. Actual results may differ materially, and we disclaim any obligation to update any forward-looking statements or outlook. Please refer to the risk factors in our annual report on Form 10-K, any subsequent Form 10-Qs and any other reports and filings with the SEC that may be filed from time-to-time, including our upcoming filing on Form 10-K for the year. Our forward-looking statements are based on assumptions that we believe to be reasonable as of today's date, August 8th, 2023. Of note, it is Doximity's policy to neither reiterate nor adjust the financial guidance provided on today's call, unless it is also done through a public disclosure, such as a press release or through the filing of a Form 8-K. Today, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A historical reconciliation to comparable GAAP metrics can be found in today's earnings release. Finally, during the call, we may offer incremental metrics to provide greater insights into the dynamics of our business. These details may be one-time in nature, and we may or may not provide updates on those metrics in the future. I would now like to turn the call over to our CEO and Co-Founder, Jeff Tangney. Jeff?
Jeffrey Tangney: Thanks Perry and thank you everyone for joining our first quarter earnings call. We have four updates today. Our Q1 results, DocsGPT for Enterprise, a guidance revision, and a new self-serve platform for clients and agencies. Okay, I'll start with the good news. Our Q1 results were strong. Our revenue grew 20% year-on-year to $108.5 million, beating the top end of our guidance. Our top 20 clients, who know and measure us best, continue to be our fastest growing with a net revenue retention rate of 124%. Our bottom line was also good with an adjusted EBITDA margin of 43% or $47 million, a full 16% of the high end of our guidance. Our free cash flow was better still at $56 million, up 31% year-on-year. Meanwhile, our physician cloud has never been more used or more useful. In Q1, our active workflow users grew to a record 525,000 plus unique prescribers. Telehealth alone top 385,000 users. In terms of enterprise paid subscriptions, we reached a record 44% of all U.S. physicians. And our overall QAU, MAU, WAU, DAU, that is quarterly, monthly, weekly, and daily active users, all hit record highs, last quarter. Q1 also marked a major product milestone for us, as we signed our first DocsGPT Enterprise deals with three top health systems. You may recall that DocsGPT is our AI medical writing tool that was launched in February to help doctors write and fax ensure appeal letters for their patients. With our enterprise version, we've now added HIPAA security and administrative guardrails that will let doctors do even more. We believe the time savings could be significant. Our recent survey of 322 AI using doctors predicted that in a few years, AI will save them each 13 hours per week, six in their EHR and seven in their other office work. We're focused on serving the latter half, the non EHR workflows. From service animal letters to teacher notes, we're proud to help busy physicians help their patients. We're also excited to deepen our health system partnerships as we expand our AI and enterprise-level offerings. Okay, turning now to our guidance revision. As a reminder, our clients include all of the Top 20 pharmaceutical companies and all of the Top 20 hospitals. Roughly two-thirds of our revenues contracted during the winter annual budget season, or what marketers call the upfront. This is when pharma marketers look back on the year, measure their ROI by tactic and renew annual programs like ours. During the summer, it's upsell season for us. That's when clients typically spend the remaining one-third of their budgets to expand program reach, modules, or content personalization. Until last year, our upfront and upsell seasonal growth rates were highly correlated. If our upfront grew well, better upsell did too. Despite a record upfront this winter, our upsell close rate fell short in June and July. So after growing steadily for a decade, our upsells have now slowed for two years in a row. We've dug into this, spoke to our key customers and industry experts, and found two core reasons. First, in part, it's the market. Pharma's shift-to-digital has slowed. Post-COVID travel and agency swaps are soaking a budget while budgetary caution rules the day. In all, we estimate digital pharma has grown at half the low teens growth rate that we and e-marketer predicted last year. Second, and more importantly, it's the friction of our full-service white-gloved sales model. Simply put, during summer upsell season, clients no longer have the time to schedule all of the meetings, legal reviews, reports, and QBRs. Post-COVID, they work from home most of the week, and they'd rather log into a self-service platform, 24x7, to monitor their program results and set budgets. Indeed, our recent channel checks show that banner ads or programmatic industry parlance got the incremental spend in the summer. Given the new entrance into the doctor banner at market, we don't expect our upsell results to improve this year. Due to these recent challenges and the need to streamline client work flows, we've made the difficult decision to let 10% or roughly a hundred of our talented employees go. These reductions are heaviest in our operations and client service teams, where live client visits, printing, and manual HTML edits are just less needed than in the past. Effective employees will receive severance, stock-vesting, career services, and extended health care coverage, totaling approximately $8 million to $10 million. The net result of these changes is that today we are lowering both our annual revenue and EBITDA guidance by 8% to 9% to a midpoint of $460 million in fiscal 2024 revenue and $211 million in EBITDA. Our revised guidance equates to 10% year-on-year growth with a 44% EBITDA margin. We've learned that our post-COVID upsell weakness has been as much due to technology and operational inefficiencies as macro-malaise. The good news is this is curable and we're treating it. Longer term, we remain incredibly bullish and we plan to use our more than $230 million in remaining share-by-backs as of July 1st to help return value to shareholders. Okay, turning now to the addition of our new self-served ad platform. As a physician's first company, we've historically put 90% of our engineering resources into physician-facing products. We pride ourselves as staying in tune with physician needs and we've built a physician-digital platform like no other. That said, in the past few years our pharmaceutical clients have become more digitally savvy, and it's now time to put more than a tenth of our engineering resources into our interfaces with them. For comparison, we're told that Google spends roughly half of its engineering effort on client-facing technologies. During upsell season, our clients increasingly prefer to deploy incremental budget swiftly and they want to expand and adjust their programs on Doximity with the click of a button, just like they would on LinkedIn, Facebook, Amazon or Google. Our agency partners similarly need to test and optimize creative throughout the year and a self-served platform will make it easier for us to align with them on content templates and medical legal review or MLR. We piloted this with a handful of creative agencies this year and found they got MLR approval several weeks faster than us while delivering a slightly higher ROI. Thankfully, we've already built much of the plumbing for this platform for our smaller hospital clients with early success. Indeed, last quarter, a full two-thirds of our 200-plus hospital marketing clients independently logged into our self-served ad platform to download thousands of reports, check their ROI and optimize their programs. This hospital self-served pilot was much more popular than we expected, and created huge efficiency gains for our client success teams. Finally, we believe that by following the well-tested self-served ad platform playbook of other tech companies, we'll unlock SMB clients that we've never had before and enable better auction-based price discovery based on ROI. While this won't happen overnight, we believe it will also allow us to operate more efficiently as more programs run with the click of a button rather than through our white-gloved team of creative technical and legal resources. In closing, we believe the opportunity to digitize physician marketing is as large as ever. And overall, we're excited to see it finally shifting from the traditional magazine and journal purchasing model to a more measurable dynamic online model. Over the last three fiscal years, 2020 to 2023, we've averaged over 50% top-line growth. We think Pharma has over corrected this year to single-digit market growth. Our 10% growth guide this year implies a fiscal 2020 to 2024 CAGR of 41% top-line growth. As we look over the horizon, to more self-served marketing, better agency alignment, auction-based pricing, and more rep digital integration, we continue to see long-term growth rates north of 20% on our path to greater than $1 billion in revenue in fiscal 2028 [ph]. And with that, I'll hand these over to our CFO Anna Bryson to discuss our financials and guidance. Anna?
Anna Bryson: Thanks, Jeff, and thanks to everyone on the call today. First quarter revenue grew to $108.5 million, up 20% year-over-year and exceeding the high end of our guidance range. Of note, our subscription revenue, which comprises 93% of our total revenue, continued to re- accelerate to 21% year-over-year growth in Q1. Similar to prior quarters, our existing customers continued to lead our growth. We finished the quarter with a net revenue retention rate of 118%. For our Top 20 customers, net revenue retention was higher at 124%. So our biggest, most sophisticated customers are still our fastest growing. We ended the quarter with 296 customers contributing at least $100,000 each in subscription-based revenue on a trailing 12 month basis. This is a 12% increase from the 264 customers that we have in this cohort a year ago. And these customers accounted for 88% of our total revenue. Turning to our profitability, non-GAAP growth margin in the first quarter was 90% versus 88% in the prior year period. Adjusted EBITDA for the first quarter was $46.6 million, and adjusted EBITDA margin was 43% compared to $33.5 million and a 37% margin in the prior year period. Now turning to our balance sheet, cash flow and an update on our share repurchase program. We ended the first quarter with $873 million of cash, cash equivalents and marketable securities. We generated free cash flow in the first quarter of $55.6 million compared to $42.6 million in the prior year period, an increase of 31% year-over-year. Additionally, we repurchased $21 million worth of shares at an average price of $31.79. As of July 1, we have $33 million remaining on our existing share repurchase authorization and an additional $200 million from our authorization announced at Investor Day. Now moving on to our outlook. For the second quarter of 2024, we expect revenue in the range of $108.5 million to $109.5 million, representing 7% growth at the midpoint. And we expect adjusted EBITDA in the range of $44 million to $45 million, representing a 41% adjusted EBITDA margin. For the full fiscal year, we are revising our revenue range to $452 million to $468 million, representing 10% growth at the midpoint. We now expect adjusted EBITDA in the range of $193 million to $209 million, representing a 44% adjusted EBITDA margin. After a record annual buying cycle, our major upsells have materially underperformed, and we expect this to continue in the near-term. As we have mentioned before, mid-year budget started locking for our customers in June. We initially estimated we would see a similar percentage of mid-year upsells as last year, which was about half of our historical rate. However, we have seen a further decline this year. Given these mid-year upsells convert to revenue very quickly, this decline has led to a sizable impact starting in Q2. As Jeff mentioned, we believe this is the result of several factors, including a slower digital marketing growth rate and a shift toward more self-service automated solutions. Additionally, as digital becomes a core strategy for our customers, we are seeing several high-impact team and agency transitions currently affecting three of our top five customers. While we are excited about the added investments our customers are making in digital, the transitions have slowed things down temporarily. As we have emerged from the pandemic, visibility into our business has become more limited than it has been historically. While our core is strong, the business we drive after our annual upfront has become more variable. To clarify, we continue to have strong visibility into the roughly 65% of revenue booked to start the year, but the remaining 35% has become increasingly difficult to predict. Because of this, we are adjusting our guidance philosophy to give wider ranges and bake in more variability for the portion of revenue we do not have contracted upfront. This includes mid-year upsells, new customers and volume expansion in our annual buying cycle. But we are obviously disappointed with our new guidance, we believe we are making the right adjustments to best align ourselves with our customers. We believe that our new self-service platform and heightened focus on automation will allow us to scale more effectively, get programs live faster and unlock more incremental budget throughout the year. This should also make our operating model even more efficient as we remain committed to profitability. As a company, we've succeeded at meeting our positions where they are and working closely with them to develop the solutions they need, which is evident by our record engagement today. Now we are excited to further extend this focus to our customers and deliver them the solutions they desire in a way that better maximizes our opportunity. With that, I will turn it over to the operator for questions.
Operator: We will now open the line for questions. We have 30 minutes for Q&A. [Operator Instructions] Your first question comes from Brian Peterson with Raymond James. Your line is open.
Brian Peterson: Hi. Thanks for taking a question. So Jeff, I wanted to start on self-serve, and I appreciate all the comments there. But as we're thinking about is quicker and it's lower cost to you, I'm curious how that compares on a pricing perspective for customers? And how do you think about ROI levels if you're thinking about self-serve versus the white gloves offering that you provided in another scenario?
Jeffrey Tangney: Thanks, Brian. This is Jeff. So we are excited about self-serve. I think the more we are measured, the better we will do in this industry and self-serve with real-time dashboards and data as an opportunity to take us to a new level here. Specifically, we are purchasing prescription data to integrate into the platform, which will allow our clients to measure their ROI more real time, which we think will be a key unlock in helping them grow not only through the upfront season, but also the upsell season. So faster launches, better pricing, easier upsells and then also newer SMB clients, I think, are the four key benefits of self-serve and where we can take it. In terms of pricing, really, clients look at this on an ROI basis. And so again, I think it's about our results. There are folks out there who do look at cost per impression. We don't even provide impression data to our clients. We're more like Google. We focus on the cost per click or the cost per deep engagement. And on that front, we're very competitive. So I think even though some of these platforms do trumpet low cost per impression numbers, the reality is we all know that there's a lot of banner blindness. There's a lot of websites you really don't want your banners on. And we're confident that while banners are certainly much easier to buy than we are, I think our ROI is much more proven.
Brian Peterson: Great. Thanks. And maybe just a follow-up. I know you mentioned the three enterprise deals for DocsGPT. Can you talk about early pipeline for that? Or any early commonality in terms of use cases that you guys are seeing with those deals? Thanks guys.
Jeffrey Tangney: Yes. Thanks, Brian. Yes, the use case, so I'm going to ask about this one. I'm excited about it. Saving doctors a lot of time already and we love to do that. If you are a forward-thinking CIO or CMIO at a major health system, you probably have had doctors sending your e-mail saying, hey, can I use this new ChatGPT thing to help out with all of my scutwork, all my paperwork? And unfortunately, the answer they've had to give them and they've had to send lots of e-mails saying, no, you cannot use this because it is not HIPAA-secured. The information goes back to open AI over the open web, and there's no way that you can handle medical-grade encryption with the consumer-based services out there. So we're excited to take that and make it a HIPAA-secure environment with a business associate agreement that we already have in place with over 200 health systems and really rolled that out to a lot of them. In terms of pricing, we're in a land-grab mode right now, to be perfectly frank. So I don't think we expect more than a few million dollars in revenue from it this year. But once we get out there and have more doctors using us, saving their favorites, tuning their preferences, putting in their letterhead, which actually is a key piece of the product right now is having that letterhead baked in, so I can send that insurance appeal letter with everything pre-templated, we think that there's a long-term opportunity here to add more value and ultimately to have it grow to be a much bigger business.
Brian Peterson: Thanks.
Operator: Your next question is from Scott Berg with Needham & Company. Your line is open.
Scott Berg: Hi, everyone. Thanks for taking my questions, and good afternoon. I guess a couple for me. If we look at sales across kind of your entire product suite, your guidance suggests that you're seeing weakness really across all product areas. I guess kind of a two-part question in there. One, can you confirm that? And then two, I know you all are really excited about some of the new products and workflow tools that have come out over the last quarter or two or things like your new video offerings. Can you give us some sense on how those are performing kind of very early in your sales cycle? Thank you.
Anna Bryson: Hey, Scott, I'll take that first part of the question. So as far as what we're seeing today in our business, the weakness really is in our mid-tier upsells, which is the part of our business that's always been a little bit more variable. We are not yet seeing any weakness from a renewal perspective. We still feel very confident in the renewal cycle that we're going to have in Q3. But I think what this year has showed us in particular is that we need to adjust the way we think about guidance as a company and think about what variability there could be in the amount of our forecast that is not yet booked. So, we're not necessarily seeing issues from a renewal perspective. However, as we think about what's not booked for the rest of the year, we are being more conservative from a major upsell, new business and renewal volume expansion perspective.
Scott Berg: Got it. Helpful. And then, I guess, from a modeling and margin perspective, Anna, we -- it looks like your Q2 adjusted EBITDA assumes roughly a 40% margin by my math, full year still 44% kind of within your historical trends. If growth stays in this kind of single-digit range, which it looks like you're forecasting based on the guidance -- revenue guidance for the rest of the year. Would there be any opportunity to drive some material upside to those margins? Because you're driving those margins growing 25%, 30%, 40% a year, would it be safe to assume that we can see some additional leverage upside of those levels that growth doesn't return in the near term? Thank you.
Anna Bryson: Yes. So a couple of things on that one. So first, as far as the risk that Jeff had mentioned before, we expect that to save us about $20 million in annualized savings a year. So that should kick in for half the year this year, but that should also kick in going forward. And then secondly, I think from a margin perspective, we're really turning our focus as a company to automation and building out more self-service, less of a white-glove offering and more self-service offering. And so as we continue to pivot towards automation, I think our margins should be able to be stable or still in that 45-plus range that we talked about at our Investor Day.
Scott Berg: Thanks, Anna. Thanks for taking my questions.
Operator: Your next question comes from Sandy Draper with Guggenheim Securities. Your line is open.
Sandy Draper: Yes. Thanks very much. I guess the first question, I think I heard you say that you still are sort of you're not revising or revisiting the targets you said at the Investor Day for $1 billion long-term. I'm just trying to understand, given the magnitude of the miss now, why not pull those? Or what gives you the confidence, I guess, that -- because you not only have to grow 20% compound, you're going to have to obviously grow materially faster than that. And so I'm just trying to understand -- I know the market's big, a lot of opportunity, but I was just a little bit surprised to hear you sort of reaffirm that?
Jeffrey Tangney: Thanks, Sandy. This is Jeff. So yes, we have to grow at 21.5% per year after this year, if we hit the midpoint of our guidance. And we do think we can do that. So I will share to Scott's prior question. Our hospital business is running at plan, and that's where we do already have the self-serve platform. And what we've realized is that the sell-serve platform really does have a lot of unlocks to it that we weren't expecting or baking into our forecast at our Investor Day. So as we think about, again, the ability to have faster launches, better pricing, easier upsells and new SMB clients, we think that the 21.5% growth over the next four years is achievable to reach that $1 billion goal.
Sandy Draper: Okay. Got it. That's helpful. And then one quick follow-up just related to the guidance for this year and the timing of the adjustment. I know you said, I think it was May and June or June, July that things slowed down. I'm just trying to think of as you're having conversations, going back to your comment about the white-glove service, was it -- maybe a different way to ask it, were you guys not asking the right questions of the clients, and that's what caused a surprise? You just weren't in contact frequently enough? Or maybe they weren't telling you the right answers or they didn't know? I'm just trying to understand from, I guess, it was June 6 or whatever Investor Day was to today, how it changed that quickly and just trying to sort of think about that. So thank you.
Jeffrey Tangney: Yes. No, thanks, Sandy. So in short, April, May were running at plan. They were over the prior year growth rates. June, however, is when most of the contracts get signed. And you're right, we got to the end of that quarter, and our close rate dropped. And when we went back and started to inspect our pipeline and take a look at it, we realized we had had fewer face-to-face meetings with our clients as they got busy. And I think as we drill into it, we think that we've effectively lost the bunch of share there to some new market entrants, folks who have recently purchased some of these banner platforms, and they really took our teeth, to be honest. So we're working through that. And I think from our end, we had a pipeline coming into June that got us there, but that pipeline didn't close at the end of the month in June and July, as we had hoped. And we've really lost out to, I think, an easier to purchase online platform, which long term, we're extremely excited about. Because, frankly, I think if you look at the Googles of the world, you see that when you have an online platform that can measure ROI real time, that's when you have real opportunities to have your product shine and take up a larger percent of the market. And I think that's our opportunity given that when you talk to our clients, we are consistently the highest ROI program or tactic that they work with.
Sandy Draper: Thank you. Nice for your comments.
Operator: Your next question comes from Jared Hass with William Blair. Your line is open.
Jared Hasson: Yes. This is Jared Hasson for Ryan Daniels. And thanks for taking a question. Just a quick one to start. I'm curious, could you just speak to sort of recent ROIs or sort of returns from recent programs? And I'm curious if there's been any kind of degradation there that's leading clients to prefer a little bit more of that self-service option?
Jeffrey Tangney: Hi, Jared, this is Jeff. No. Short answer is we haven't seen a degradation in ROI. It remains above the median 10 to 1 that we've been reporting in the past year or two. We continue to do more studies in the space. So no, that hasn't been the problem. Again, I do think it's just the ease of purchase and the need to do things more efficiently, that I think we've fallen a bit behind on. If it takes four meetings to get something done as opposed to four clicks, it does make a difference to our clients.
Jared Hasson: Okay. Understood. And then just one more on the revised outlook here. Anna, just in terms of the sort of expected cadence, should we still look for 3Q to show a bit of a quarterly growth relative to the second quarter? And if so, if you are expecting that bump in 3Q, excuse me, what would kind of give you the confidence that you can achieve that, just given some of these moving parts here this year?
Anna Bryson: Sure. As far as we think about the cadence for the rest of the year, it should look relatively similar to prior years. Maybe 3Q -- Q4 will be a little bit more flattish just because we're not seeing as big of a step up. I think in an environment where everything has slowed down and not typical, I think it makes more sense to focus on the first half and back half of the calendar year as it pertains to a ramp. So if we're looking at this calendar year, the second half only implies about 5% growth versus the first half. And for comparison, last year, it was about 18% growth. And so, we're confident that we have the backlog to get there. The other thing I'll note there is the client and agency transitions that we talked about are certainly slowing stuff down for us. We are seeing more of our customers go through whole scale team or agency transitions that has certainly led to some overall delays. Now in the long run, we think these investments in digital teams and operations will certainly help us. But in the near term, it is slowing things down for us from a launching perspective.
Jared Hasson: Okay. Understood. Thank you.
Operator: Your next question comes from Allen Lutz with Bank of America. Your line is open.
Allen Lutz: Hey. Thanks for taking the question. I want to go back to the upsells. I guess, Anna, you mentioned that upsells were a little bit weaker than expected. I think last year or two years ago, they were about 10% of revenue. And then last year, they were about 5 percentage points of revenue. Did they grow year-over-year, both in absolute terms? And was it just weaker as a percentage of revenue? Just trying to understand that moving piece there. And then, any change to contributions from new modules in the guide? Thanks.
Anna Bryson: Sure. As far as our upsells are concerned, I think Jeff and I talked about this in the prepared remarks, but they declined on an absolute dollar basis. So we did see less upsells this year on an absolute dollar basis than we saw last year. As you know, we had initially assumed we'd see a moderately muted upsell environment. And what we are witnessing is a decline mostly due to two factors. One is the self-service trend that Jeff talked about. But the other factor that I don't think we've hit on a ton is the fact that we are seeing less incremental budgets in general across all of our clients than we had seen last year. So incremental budgets are more muted than they had been last year. As we look forward though, we feel as though the self-service platform will certainly help unlock more of those budgets next year even if they do remain muted.
Allen Lutz: Great. Thank you.
Operator: Your next question comes from Jessica Tassan with Piper Sandler. Your line is open.
Jessica Tassan: So I just wanted to kind of dig into what your expectations are in terms of both net new business for FY 2024 in the revised guide. And then just in terms of renewal of your existing subscription business, if you could parse that out or give us any detail there?
Anna Bryson: Sure. I'd say in order of magnitude of the revised guidance, the biggest impact has been the mid-year upsell piece. Then new business, we are assuming a lower percentage from new business, and we are assuming a lower percentage from the volume expansion portion of our renewals. Once again, it goes back to what I was talking about earlier that we really have realized we need to change the way we think about our guidance philosophy and what we have that's unbooked. The good news is, as we sit here today, we have roughly 80% of the remainder of the year booked, so we feel really confident in this revised guidance, but we are just approaching the rest of the year with caution given what we're seeing.
Jessica Tassan: Okay. That makes sense. And then -- that makes sense. And then just in terms of kind of the FY 2025 cadence then based on that renewal level this year, should we be expecting kind of a back half step-up in 2025 and then going forward just because there's a new sort of philosophy to guidance? And to the extent that you could answer that would be helpful. And then just kind of can you give us an update on the status of some of these new modules, the point of care in peer-to-peer?
Anna Bryson: Sure. I'd say it's too soon for us to talk about FY 2025, but our best estimate is that it would look similar to prior years. Our self-service platform should help us start to unlock that incremental budget midyear. So we like to believe we can see some more success in our mid-year upsells next year than we saw this prior year. And then, as far as our new modules are concerned, one thing we've talked about before is that -- so we really believe the ramp will start once we have those first ROI studies back and we're able to pitch them to our clients during our annual renewal cycle. So as far as new products are concerned, we're really excited about what that means for us for fiscal 2025 and beyond. But we aren't assuming anything materially different versus what we've had before in our guidance there.
Jessica Tassan: Thank you again.
Operator: Your next question comes from Elizabeth Anderson with Evercore ISI. Your line is open.
Elizabeth Anderson: Hi, guys. Thanks so much for the question. So I guess like if I'm looking at the rest of the year as implied guidance, I'm sort of like running through what you just said in the comments and obviously, your 1Q and 2Q implied guidance, I'm having sort of getting to your full year sort of revenue numbers unless I take the NRR below 110%. What am I missing that that's -- or is that sort of the right way to think about how the business kind of ends the year?
Anna Bryson: Sure. I'll take that one, Elisabeth. Our estimate today is that like we've said, we think we'll end the year with about 10% revenue growth. And as we think about NRR, that would mean that NRR should be sub-110%. And I think we're really excited about what our renewal process could bring as we look ahead to next year and if budgets become more robust. But I think that is the right way to think about NRR for the year.
Elizabeth Anderson: Okay. That's helpful. And one question -- in one of the earlier comments, you guys spoke about better pricing on a self-service model. What does that mean exactly? Is that like lower pricing versus what you have now? Just if you could clarify and sort of expand on that, that would be helpful?
Jeffrey Tangney: Sure, Elizabeth. This is Jeff. I'll take that. Yes, one of the challenges we ran into each year when we sit down and go through the year's results ROI and talk about next year's pricing is that when it's a human-to-human sort of discussion, it's hard to raise prices above a certain percent. It's part of that long-term relationship that we've fostered with our clients. But when it's an auction and when it's others, maybe smaller companies who are bidding up certain segments of physicians. I think it becomes easier to have price discovery there, take you to a better, frankly more normalized ROI than what we currently deliver. So as I said in the past, with the 11:1 median ROI, we could grow 20% a year for four years and really just get back to a 3x ROI, which is what most of our clients would consider great results given the other tactics and other programs that they work with. So, we think that the self-serve platform is an opportunity for us to, I think, get a little sharper on our pricing by cohort, by segment and allowing us to have our ROIs be more in line with what other partners in the industry provide.
Elizabeth Anderson: So just to clarify, you think on like a total basis, do you think it actually provides an opportunity for positive pricing versus what you're experiencing now is that what you think?
Jeffrey Tangney: Absolutely. Absolutely.
Elizabeth Anderson: Got it. Thank you.
Jeffrey Tangney: Yes. If you talk to the people who are early at Google when they made their transition to this sort of platform and others, I mean, the short answer is, it made meaningful increases to prices.
Elizabeth Anderson: Got it. Thanks so much.
Operator: Your next question comes from Jailendra Singh with Truist Securities. Your line is open.
Jailendra Singh: Thank you, and thanks for taking my questions. I actually want to go back to the restructuring comment, what kind of cost savings are you including from that in your outlook for this year and second half? And I'm just trying to understand, is that the primary driver of second half implied EBITDA expansion?
Anna Bryson: Sure. I can take that, Jailendra. So as far as the restructuring, it should result in roughly about $20 million in annualized savings for us and personnel costs, and so we do expect that to start kicking in on about August 15 here. So that is implied in our guidance as we think about EBITDA for the rest of the year.
Jailendra Singh: Okay. And then my quick follow-up on upsell. I appreciate all the color around what you're seeing in the market. But just curious to know like whether these upsell, what you're seeing a slowdown, do you see any opportunity that these might come back later part of this year or fiscal year for you guys? Or do you think that's probably pretty much you have enough visibility that probably this is not likely to fiscal year, probably next year, you might see any bounce back on these trends? Just trying to understand, like, I mean, how much visibility do you have for this fiscal year? Or is just like you are kind of saying, hey, this is probably more next year recovery than this year?
Jeffrey Tangney: Thanks, Jailendra. This is Jeff. I'll say, we're not baking in much for upsells going forward until we have a self-serve platform until we can get more predictability there. So the short answer is, yes, there may be some upside there, but right now, we're not counting on that.
Jailendra Singh: Okay. Thanks a lot.
Operator: Your next question comes from David Larsen with BTIG. Your line is open.
David Larsen: Hi. Were there lower upsells in certain categories of products or certain brand products like, for example, gene therapies or anything like that. And then, are the new products that you're like bringing to market, have those all been cleared by the regulators? I think the vertical video is going through some reviews. Are those all cleared and launching and so forth?
Nate Gross: Hi, David, this is Nate. I can speak to sort of the inverse of that. We've actually seen a lot of success for clients interested in education around novel therapies. I think we're entering a heyday, for instance, for endocrinology. And it just so happens that endocrinology is our most highly engaged major specialty for our workflow tools. We put out a telehealth report in late June that analyzed our telehealth engagement by specialty and location. And I think some of the specialties that overlap with some of our newest modules are well aligned with some of the excitement and innovation in the life sciences space.
David Larsen: Great. And then I think some of your newer products were going through a review by the regulators. Is that correct or not? And have those all cleared?
Anna Bryson: Sure. I can take that one, David. So as we mentioned at our Investor Day, we do have approval for all of our new products now from our customers. So our point-of-care products are live. However, several of our peer-to-peer programs have not yet gone live. And I think peer-to-peer is just another example of us learning that we need to have a more automated offering to make it easier to produce and edit KOL videos. So we're excited about what our self-service offering will also bring to our ability to get programs and products live faster. And then one more quick note. I just wanted to clarify from a comment I made earlier, I think to Jess' question is about visibility. We have 80% of the year books for a subscription-based guidance. So I just want to clarify that comment from earlier that it's 80% of the year of subscription-based guidance.
David Larsen: Okay. Thank you very much.
Operator: The Q&A portion of the call has now concluded. I will now pass the call back to Doximity's CEO, Jeff Tangney, for closing remarks.
Jeffrey Tangney: Thank you. We appreciate the questions and the feedback and especially from those whose channel checks have helped inform our strategy here. We want to thank everyone for joining. Thanks.
Operator: This will conclude today's conference call. Thank you for your participation. You may now disconnect.